Operator: Good morning. My name is Regina and I will be your conference operator today. At this time I would like to welcome everyone to the Lindsay Corporation’s third quarter 2010 conference call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question and answer session. (Operator instructions) During this call, management may make forward-looking statements that are subject to risks and uncertainties and which reflect management’s current beliefs and estimates of future economic circumstances, industry conditions, company performance and financial results. Forward-looking statements include the information concerning possible or assumed future results of operations of the company and those statements preceded by, followed by or including the words “expectations,” “outlook,” “could,” “may,” “should” or similar expressions. For these statements, we claim the protection of the Safe Harbor forward-looking statements contained in the Private Securities Litigation Reform Act of 1995. I would now like to turn the call over to Mr. Rick Parod, President and Chief Executive Officer.
Rick Parod: Good morning and thank you for joining us today. Revenues for the third quarter of fiscal 2010 were $100.1 million, up 18% over the same quarter last year. Net earnings were $6.2 million or $0.50 per diluted share compared with $5.3 million or $0.42 per diluted share in the same prior year third quarter. Total revenues for the first nine months of fiscal 2010 were $271.2 million, up 3% increase from the same period of last year. Net earnings for the first nine months were $18.9 million or $1.50 per diluted share compared to $11.7 million or $0.94 per diluted share for the first nine months of fiscal 2009. In the domestic irrigation market, revenues were $48.5 million for the third quarter, increasing 17% over the same quarter last year. While commodity prices for corn, soy beans and wheat were down 20% to 30% compared to the same time last year; commodity prices were relatively stable through the past six months to nine months, resulting in an improved farmer’s sentiments regarding capital goods purchases. In addition, USDA projections for 2010 net farm income reflects a 12% increase over 2009 estimates and project farm income to be near the ten-year average. For the first nine months of fiscal 2010, domestic irrigation revenues were 120.1 million, down 7% from the same time last year. The comparable nine months period of fiscal 2009 reflected a record first quarter irrigation revenue resulting from a record backlog at the end of fiscal 2008. International irrigation revenues were $31.9 million for the third quarter, 29% higher than the same period last year. Significant increases in exports to Australia and Mexico along with strong revenues from our South American, South African business unit drove the revenue increase in the quarter. For the first nine months of fiscal 2010, international irrigation revenues were $81.4 million, up 13% from the same time last year; improving diets in a growing worldwide population combined with achieving water use efficiencies for mechanized irrigation systems continue to be positive market drivers globally. Infrastructure revenues increased 8% over the third quarter of last year driven by increased sales of rail road structures and lights and commercial tubing. Road safety products revenue rose in the quarter and we have experienced somewhat higher core activity related to stimulus funded projects. Year to date, as of the end of the third quarter, infrastructure revenues were $69.7 million, an increase of 12% over the same time last year, driven by the large Quickchange Moveable Barrier project completed in Mexico City earlier in the year. The infrastructure segment revenue increased from that period was partially offset for the nine months period by lower revenues in contract manufacturing and commercial tubing in the previous two quarters. For the company in total gross profit was $25.3 million for the third quarter versus $21.1 million in the same quarter last year. Gross margins increased to 25.2% compared to 24.9% for the third quarter last year. Irrigation margins were higher in the quarter due to improved factory efficiencies at our Lindsay Nebraska facility and favorable regional mix compared to the same period last year. Infrastructure margins were lower than the comparable period last year due to less favorable product mix. Total operating expenses for the quarter were $15.2 million versus $13.5 million in the same quarter last year. The higher operating expense level was due to increased incentive compensation and R&D expenses. For the quarter operating expenses were 15.2% of sales compared to 16% in the prior year’s third quarter. Our order backlog was $33.9 million on May 31, 2010 as compared to $33.6 million on February 28, 2010 and $40.2 million on May 31, 2009. The May 2009 backlog included $19.6 million for the Mexico City road project that was completed in the first half of fiscal 2010. Our balance sheet has continued to strengthen. Cash and cash equivalents were $20.3 million higher, while long term debt has been reduced by $13.2 million, improving our net cash position by 33.5 million. During the quarter the company repaid 7.1 million note related to the acquisition of Snoline in Italy. Accounts receivable decreased $600,000 from the same time last year, even though sales for the quarter were higher. Inventories were $7.3 million lower than the same time last year, primarily in infrastructure projects. Balance sheet initiatives remain focused on working capital reductions and overall cash management. In summary, irrigation revenues rose domestically and a several key international markets unapproved farmers sentiment. Stimulus funded infrastructure projects are resulting in an increase, road safety projects and supporting revenues comparable to the last year. In response to the relatively tepid economic conditions, we have implemented actions within our business to enhance cash flow which has resulted in a stronger balance sheet with a further improved net cash position. At the same time we continue to invest in efforts to find accretive acquisitions that add new businesses and/or product lines and in funding organic growth opportunity. These initiatives along with our strong balance sheet have positioned Lindsay well in the current economic conditions and for the future. I’d now like to open it up for your questions.
Operator: (Operator instructions). Our first question comes from the line of Alex Potter with Piper Jaffray.
Alex Potter – Piper Jaffray: Hi, guys, congrats on a quarter.
Rick Parod: Thank you. Good morning.
Alex Potter – Piper Jaffray: I was wondering if you could comment on this year on growth margins, if you have any commentary I guess on some of the moving parts that might lead you to believe that gross margins could be higher or lower or somewhat stable looking forward.
Rick Parod: In terms of gross margins, one of the comments I would make is that last quarter we expressed some concern about competitive pricing given what we’re facing with some rising material costs and things and what we experienced during the quarter was some increase in competitiveness regarding pricing, and material costs did go up and we were able to pass through most of those increases, and I think there may have been a gap of somewhere between 0.5% to 1% in terms of pricing. We also had improved factory efficiency, which move gross margins up higher in terms of irrigation. But I think in terms of the quarter I was pleased with how that turned out; factory efficiency certainly benefited the quarter. And I think there are opportunities in the future; however, we do have increased competitive pressure in general as the market was a little tighter earlier in the quarter.
Alex Potter – Piper Jaffray: Sure. I guess it stands for reason that if you are moving less volume and some of the seasonally weaker quarters that are coming up then you might lose some of that factory efficiency benefits?
Rick Parod: Yes, I think that’s true. I think you could assume that we would lose some of that factory efficiency. I would say, however, that the margins have been well managed in terms of being able to pass through increases and I would also comment that the competitive pressure on pricing is probably less than what we’ve seen a number of years ago. So I’d say that in general, I’m not overly concerned with that. But I was a little bit of concern we saw at the end of the previous quarter that was expressed by some of our dealers and it wasn’t as significant as we thought it would be.
Alex Potter – Piper Jaffray: Very good. And then moving to some of the other expense line items, it looks like year over the last or three quarters or so that your operating expenses, selling, G&A, R&D, in aggregated leveled off for most part around cost $15 million per quarter. Do you see that being as I guess a sustainable run rate or what do you see being the factors that could influence that over down?
Dave Downing: Alex, this is, Dave, is the investments we’re making in our engineering and R&D area, and then as we adjust our incentive comp, as we talked about in our press release match our actual results. So, I would expect SG&A to be up this year, but still have some leverage over prior year SG&A as a percentage of sales.
Rick Parod: I would add to that point on the R&D is that as I mentioned in the comments, we do see opportunities in acquisitions but also in organic growth opportunities, which include new products. So we have stepped up our R&D activity a little bit. You’ll find that the R&D maybe in the past was running about 1.6% of sales, move to about 2%. So R&D was stepped up a little bit because of the projects and the opportunities that we see there.
Alex Potter – Piper Jaffray: Great, that’s very helpful. Then I was wondering also if you could comment a bit on international irrigation growth and clearly, that was a good performance in this quarter, it’s become a pretty significant driver of growth in your business overall. I can appreciate the fluctuations are inevitable at some level, but I guess from a high level do you think that this segment could or should continue growing faster than domestic irrigation and if so, is it possible to quantify the 2X, 3X, what do you see being I guess the disparity in growth between the two?
Rick Parod: Well, as we talk about the international as a large segment in the past, in total, we typically said that we expect that the growth rate in that international market definitely exceed domestic market. That’s probably somewhere between the 2X to 3X level. It’s difficult to forecast or project from that because it is somewhat so lumpy in the sense that in one quarter, for example, previous quarter, we had significant sales from Mexico, which were probably a little out of the ordinary to some degree. This quarter was probably a little more representative with sales from a number of different international markets all being up rather than any one specific market driving it. So we will see times when one specific market may move it up or down depending on the significance of that market at the time. But, generally speaking, I would expect it to be from a growth rate standpoint, probably in the range of probably two times to three times the U.S. and I think it’s somewhere in that range.
Alex Potter – Piper Jaffray: That’s very helpful. I guess just two last questions. Switching over to domestic irrigation, are you seeing (inaudible) taken any I guess of a non-traditional pivot geographies outside of place like Nebraska which obviously been historically very strong for you and for the pivot business in general. But I’m wondering if other maybe less penetrated areas like California or any other geographies are starting to I guess purchase pivot more?
Rick Parod: We are, but I would probably characterize as more as something that’s occurred over the last few years. We’ve seen increases certainly in the California market over the past few years. The crop that I would say that is driving some increase, we’ll see some continued increase would be in areas where rice has grown. Because we are having some progress, making some progress in pivots on rice. So, that will drive some growth for the future. But in general, the only probably major market that we’ve seen a shift in and that’s probably going over a few year period has been the California market.
Alex Potter – Piper Jaffray: Very good. And then last modeling question. What do you think we should be modeling here for tax rate going forward over the next quarter and then next year?
Dave Downing: Alex, our tax rate for this period was 35.2%, I expect for the full year will be in the 31% to 32% range.
Alex Potter – Piper Jaffray: Because you had this tax benefit last quarter and….
Dave Downing: And the 35.2% is pretty pure for the quarter.
Alex Potter – Piper Jaffray: So 31 or thereabout.
Dave Downing: 31% to 32% for full year this year.
Alex Potter – Piper Jaffray: Very good. Appreciate you guys. Thanks a lot.
Rick Parod: Thank you.
Operator: Your next question comes from the line of Brian Drab with William Blair.
Brian Drab – William Blair: Hi, Rick, hi, Dave, congrats on a solid quarter.
Rick Parod: Thank you. Good morning.
Brian Drab – William Blair: First question on the infrastructure business. I know the stimulus package had about 28 billion allocated to improvements of transportation markets and my understanding is that only about 8 billion of that has been spent to-date and we need to spend quickly here before the fiscal year or so. Should we expect that to drive some sequential improvement in your infrastructure business from the third quarter to the fourth quarter?
Rick Parod: I think there could be some sequential improvement from third quarter to fourth quarter and some of that is seasonal improvement, in a sense that for our infrastructure business, a lot of our products will be sold during the summer time period, going into construction projects at that time. And as you think about the stimulus spending relative to our infrastructure product, I would think of it in terms of many of our road safety products will typically be towards the tail end of the project. So, let’s say the earlier money that was spent we’ve probably seen some of that now in terms of driving the demand for our products. So, as this money is spent and allocated to projects and starts to flow more readily, we’re probably going to be in the later stages in terms of adding things like crash cushions and things of that nature in terms of the project.
Brian Drab – William Blair: So you would say that we could expect a sequential increase in infrastructure but a lot of that is going to be seasonal and some help from the stimulus, is that fair?
Rick Parod: I’m not projecting or forecasting sequential increase because I couldn’t do that, but I would just say that from a seasonal standpoint and from quote activity standpoint, there is good demand in terms of how projects fall I really couldn’t tell you that the fourth quarter is better than the third quarter, but from a seasonal standpoint it would be fairly typical to have a good fourth quarter in infrastructure and road safety products. Besides that, of course, there’s a Quickchange Moveable Barrier which is less impacted by some of the stimulus money, and certainly, more projects oriented. And what we typically see today is probably a project tracking with that will exist of something like 120 million to 150 million of projects dollar value of projects that we’re tracking, of which some portion of it could fall still yet this year and some of it, of course, will be into next year and that project list will continue to grow.
Brian Drab – William Blair: My next question was on the Quickchange product. Was there any revenue in this third quarter 2010 from the Quickchange?
Rick Parod: Yes, there was. I don’t know the amount, but there was some revenue and it’s none of it of course related to Mexico City that was finished in the first half.
Brian Drab – William Blair: Okay. And so you mentioned that your potential projects that give you a pipeline totaling potential 100. What did you say 115?
Rick Parod: (inaudible) in our projects, what we consider to be relatively close in tracking list we’re looking at a project in a range of 120 million to 150 million in projects. I’d say relatively close in. Some of it this year could be next year projects, obviously, gets postponed and moved, so could even go the year after, but that list is constantly changing with new ones coming on and ones getting fulfilled. But generally, their projects that we would expect will fall at some point in time.
Brian Drab – William Blair: So can you give us any more color on that because I think obviously very material to our fiscal 2011 forecast? Are any of these projects in the pipeline that place a high probability of winning a particular project or give us any sense for what percentage of those you might win in 2011?
Rick Parod: I couldn’t give you a dollar amount. I would tell you that there is a fair size amount in that project list that we would put a high probability, some of that still occurring this year and high probability of some of those projects certainly, in next year’s plan. But on the other hand, as I said, I would never go much further than that because I also know that the funding gets postponed at times and there’ll also be a technical difficulty to get anything to start. But from our internal standpoint where we look at it is we believe there’s some high probability and certainly for projects next year and possibly then more by the end of the year.
Brian Drab – William Blair: Great. And I’ll just ask one more question if I could. On the irrigation side, internationally, was there anything in the quarter that was one-time in nature like you have some unusual demand from Mexico last quarter? And then secondly, how should we think about the irrigation business internationally on a sequential basis? I know domestically obviously we should expect a downtick as we move out of a high season here but how should we think about the international business sequentially?
Rick Parod: I’m going to take the first question. There was nothing significant of a one-time nature in the quarter in the international market. As we’ve looked at where we saw the growth in the international markets, it was primarily driven by higher agricultural activity or just pure growth in those markets, and we have seen improvements in the last quarter or two in a number of the international markets. For example, in South America, Brazil, specifically, I think that we’ve seen some growth in Europe, but that’s probably starting to slow down. So there’s definitely been growth in some of the markets and we expect that to continue. To come back to the second part of the question in terms of how do we see that during this next quarter, I wouldn’t make a projection from a sequential basis, but I would say that most of the irrigation markets we do see slow down in a similar seasonal pattern as the U.S. obviously, southern hemisphere is a little bit different.
Brian Drab – William Blair: Okay, thank you.
Operator: Our next question comes from the line of Ned Borland with Hudson Securities.
Ned Borland – Hudson Securities: Good morning. Great quarter.
Rick Parod: Good morning. Thank you.
Ned Borland – Hudson Securities: I was wondering if you could either give us the split on a backlog between the two businesses or at least give us some flavor as how they related to last year’s third quarter?
Rick Parod: Well, we won’t split out the backlog between the irrigation and infrastructure; however, I think if you would look at the backlog numbers last year versus this year back at the $20 million Mexico City project last year, you can see a pretty sizeable increase in the backlog. Most of that, I would attribute to international irrigation market, but the other points that I would make is that our backlog is generally not very indicative of anything to project for the future, in a sense that it’s usually less than a month’s worth of demand in any one of the markets. So I wouldn’t put a lot on the backlog number at any point in time. There was a little difference in probably 2008 when our backlog builds up towards the end of the fiscal year, but, in general, backlog is not going to be very indicative of the next quarter because it is so short in duration.
Ned Borland – Hudson Securities: Okay. I guess I’m just trying to arrive at the infrastructure business if you were to net out Mexico City, if there are some stimulus projects that are sort of getting going here, how that would appear in your backlog?
Rick Parod: I understand the question. I think I would characterize it as a certain comment that I’d say that our road safety product revenues were comparable to about the same period last year and what we’ve seen to-date in terms of the effect of the stimulus funded projects, it’s been primarily supporting the kind of project activity that we’ve seen, meaning, we really didn’t see a decrease in sales either this year or last year from the previous year because of the stimulus money gain out there. We haven’t seen it really significantly drive incremental demand in any way other than to support the kind of projects and demand that was there. Going forward if this money flows out faster and better and I think it’s possible, in fact, likely that we could see some improvement. I’d say we haven’t really seen that reported in our numbers to-date.
Ned Borland – Hudson Securities: Okay, and then the operating margin and infrastructure, it looks like you had another loss year. Is that all just kind of the lower volumes or is there diversified manufacturing, I think that was the problem last quarter, what is sort of dragging things down just volume if anything?
Rick Parod: It’s still primarily mix related more than it is volume related. Obviously, more quick change will invariably boost the margins in the quarter, but without relying on that, I’d say that the other part of it is the diversified manufacturing, as we talk about last quarter, the revenue was higher, but the margins were still significantly less than what we see in the rest of the infrastructure business, so more sales in that area is dilutive to the infrastructure margin. And that’s been contract manufacturing plus some of the commercial tubing sales that we had, where we saw some of the increases in the last quarter. I will say that we are seeing improvements in that business, there’s quite a bit of focus on operational efficiency improvements and a number of other factors; however, it still have somewhat of a dilutive effect in the margins in the quarter.
Ned Borland – Hudson Securities: And then switching over to irrigation domestically, obviously, there has been quite a bit of rainfall in the Midwest, crop prices are lower yet, farmer sentiment is better. If we are looking at the three buckets of demand, replacement, new farmland and conversion, what’s the story here on the improvement year-over-year?
Rick Parod: If we look at the data today in terms of what impact there was in the past quarter, in t of how those numbers came out, I would say we didn’t see that the percentage of unit shipped out would have been a little bit higher going into dry land application in the quarter and year-to-date, it probably would be very, very close to one-third, one-third, one-third as we see in a typical year. So in other words, we are not seeing any kind of a shift in that line, the fact that more systems are being installed in dry land at the peak of the irrigation season, is not a surprise, we would expect to see that. That would be the case where the farmer sees that financial opportunity to put in a pivot to boost his yield and that’s what we saw in this past quarter.
Ned Borland – Hudson Securities: Okay, thank you.
Rick Parod: Thank you.
Operator: Your next question comes from the line of Paul Mammola with Sidoti & Company.
Paul Mammola – Sidoti & Company: Hi, good morning, everyone. If I can take you back to international irrigation, can you comment on China, and I guess I'm specifically looking for when that subsidy expires and what level of revenue would it take for you to install a tube mill or make that facility more vertically integrated?
Rick Parod: Well, first I would say that China was one of the markets that were not up in the quarter and yet if we go back to last year, where a number of the international markets were down, China was up. So it’s going to be a little bit of a bumpy ride, as China matures and grows. I don’t think the fact that China was a little behind what we expected or behind where we were, really means that much this year, I think it’s part of the development of that market itself and I don’t know, Dave, if you have any specifics on the subsidies and when that expires, I don’t know the expiration date of that.
Dave Downing: There’s been no change in terms of the subsidies in China year-over-year or quarter-over-quarter and we don’t see any (inaudible) in terms of expiration date on those subsidies at this point.
Rick Parod: The last part of the question in terms of what level would we put in tube mill or expand the production, we haven’t really defined a specific level, but I would say it more as we know that at some point in the future when we project it to be a year or two or some point out where that change could probably take place, however, that could be accelerated by additional things, for example, some things we are considering of shipping more products out of China for other locations than we’re doing today. So I think that we could accelerate that process or may not, but it will be based on some other strategic issues we’ll be discussing.
Paul Mammola – Sidoti & Company: Okay, that’s all very helpful. On the financing side of things, can you comment as to where you see difficulty especially with the credit disruptions we’ve seen over the past couple of months?
Rick Parod: I think the primary areas where we’ve seen impact in from financing has been primarily what I consider the truly developing markets. Certainly, Eastern Europe has continued to be an issue in the whole CIS area. Ukraine or Russia, that all prove that Eastern European market as well, we have seen this financing continues to be a challenge. Outside of that, certainly, some of the African markets financing has been and will continue to be a challenge we’ll see in the near-term.
Paul Mammola – Sidoti & Company: Rick, would you say it’s been meaningful in terms of what you lost from sales there or what could be potential sales there?
Rick Parod: I guess I wouldn’t call it meaningful, but it is meaningful in terms of potential sales. Yes, it isn’t meaningful from a standpoint of carving out a large portion of our sales. What’s painful in some respects is that we are really starting to see some good progress in those markets, where I think farmers are ready, they have seen the benefits of what mechanized irrigation can do in those markets and funding was really stepping up to the plate and that was back in 2007-2008 time period, we’ve seen that pull back. So I think that’s the more painful part of it than it is a specific number of dollar amount of sales loss, but we definitely lost the momentum.
Paul Mammola – Sidoti & Company: And then finally, Dave, can you remind us how much is available on your revolving credit facility and can you at all explore how much you could borrow on a term loan basis or on a debt offering basis?
Dave Downing:
Paul Mammola – Sidoti & Company: Okay, thank you, (inaudible).
Operator: The next question comes from the line of Jon Braatz with Kansas City Capital.
Jon Braatz – Kansas City Capital: Good morning, Rick, Dave.
Rick Parod: Morning.
Jon Braatz – Kansas City Capital: Some years your maintenance revenues associated with irrigation can be quite good depending on wind damages and how dry it is. I know it’s been wet out here in the Midwest, I'm not sure about the tornadoes and so on in Nebraska, but can you give us a sense maybe how the maintenance revenue might be this year in terms of the irrigation business?
Rick Parod: The way I would answer that, Jon, is that there are years where we’ve seen storm damaged machines play a fairly sizeable role in revenue in the third quarter, maybe a little bit in the fourth, but generally, it’s more in the third. When we look at what happened this quarter relative to last quarter is probably about the same. In fact, we have less storm damage this year, storm damaged machines than we did the previous year. So it wasn’t significant in either year, but it was a little bit less this year.
Jon Braatz – Kansas City Capital: Okay, all right. And early on the conference call, Rick, you were talking about R&D spending being up a little bit. Can you talk a little bit about where you’re spending that money and whether as we go on that you might see even higher spending levels in R&D?
Rick Parod: Yes, I can comment on that a little bit. I think from a irrigation standpoint, a couple of areas where we’ve seen significant opportunities to invest would be in things like water use efficiency, applications where we’ve invested in, some R&D in that area, also in our FieldNET technology, which is kind of a comprehensive monitoring and control system, that we sell the soldering machines as well as sell a subscription to grow and we continue to expand the capability of that. We also looked at a number of new products for some specific international markets that are much geared towards the growth opportunities in those markets, whether the sugarcane will rise or whatever the market is and have invested in some product developments there. On the infrastructure side, we’ve had some investments in some road safety products as well.
Jon Braatz – Kansas City Capital: Okay, all right. Any reason why you might see the spending levels increased on a relative basis?
Rick Parod: No, I wouldn’t necessarily project that. I’ve looked at it is these are opportunities that we see today and have really made sense I think the current environment to step up the pace a little bit, but I don’t see this as anything where I would project longer-term higher R&D run rate.
Jon Braatz – Kansas City Capital: Thank you very much, Rick.
Operator: (Operator instructions). Our next question comes from the line of Jason Kraft of Cato Partners.
Jason Kraft – Cato Partners: Hey guys, how are you?
Rick Parod: Good morning. Doing well. How are you?
Jason Kraft – Cato Partners: Doing well. I wanted to circle back on your project list comment for infrastructure in the $120 million in that project listing, perhaps the lumpiness that comes with that and coming off the Mexico City project that was close to $20 million. Are there projects in that pipeline along the size of what Mexico City did around $20 million that actually have high probability of closing or should we consider the Mexico City deal as just a large one-time opportunity?
Rick Parod: Yes, there are projects on that list of comparable size and in larger as well. I would not consider Mexico City a one-time type thing in anyway. I would say that the larger projects probably in that $20 million up are fewer and far between say $5 million to $6 million project will be, we’re probably going to see a lot more of those $5 million to $6 million, but there’s definitely ones of the larger variety as well on the list.
Jason Kraft – Cato Partners: I'm trying to back in, I know you guys do not disclose kind of the gross margin dynamics, but is it safe to say that the incremental margin, at least the incremental gross margin on some of those large QMB projects would be 50%, 60%?
Rick Parod: You are right, we don’t disclose that. Sorry, I really don’t want to get into the specifics on the size of the margins on the quick change, but I would say that they are attractive and we would love to see those projects.
Jason Kraft – Cato Partners: Okay, fair enough, thanks.
Rick Parod: Thank you.
Operator: And at this time there are no further questions. I will turn the conference over to Mr. Parod for any closing remarks.
Rick Parod: So for our business overall, the global long term drivers of water conservation, population growth increasing, importance of bio-fuel and improvements in infrastructure remain positive. In addition to the overall business enhancements that have taken place, we continue to have ongoing structured acquisition process that will generate additional growth opportunities throughout the world, in water and infrastructure. Lindsay is committed to achieving earnings growth through global market expansion, improvements in margins, and strategic acquisitions. Thank you for your questions and participation in this call and we wish you a Safe and Happy 4th of July Weekend.
Operator: This concludes today’s Lindsay Corporation Conference Call. You may now disconnect.